Operator: Welcome to the J&J Snack Foods’ Fourth Quarter Earnings Conference Call. My name is Richard, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Gerry Shreiber. You may begin.
Gerry Shreiber: Thank you, Richard and welcome to our fourth quarter conference call. With me today is Dennis Moore, our CFO; Bob Radano, our COO; Ted Shepherd, our CED; Jerry Law, our Senior Vice President and my personal assistant and Robert Pape, our Director of Sales. Let me begin with the forward-looking statements – the obligatory statement. The forward-looking statements contained herein are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. You are cautioned not to place undue reliance on these forward-looking statements which reflect management’s analysis only as of the date hereof. We undertake no obligation to publicly revise or update these forward-looking statements to reflect events or circumstances that arise after the date hereof. Results of operations. We had another good quarter and another good year again. Net sales increased 7% for the quarter and 6% for the year. Without the sales from the acquisition of New York Pretzel in October 2013 and Philly Swirl in May 2014, sales were up 3% for the quarter and 4% for the year. For the quarter, our net earnings increased by 9% to $22.2 million or $1.18 a share from $20.3 million or $1.08 a share a year ago. For the year, our net earnings increased by 12% to $71.8 million, that’s $3.82 a share from $64.4 million or $3.41 a share last year. Our EBITDA, that’s earnings before interest, taxes, depreciation and amortization for the past 12 months was $148.4 million, another record, up 10% from 2013. Food service. Sales to food service customers increased 5% for the quarter and 6% for the year, 4% and 5% respectively without sales resulting from the acquisition of New York Pretzel in October of 2013. Soft pretzels sales, our core product – one of our core products, were up 10% for the quarter and 14% for the year; 8% and 11% respectively without New York Pretzel. Italian ice and frozen juice bars and dessert sales increased 6% for the quarter and 10% for the year. Churros sales were down 4% in the quarter and essentially unchanged for the year. And bakery sales were up 4% in the quarter and 2% for the year. Retail grocery and supermarkets. Sales of products to retail supermarkets were up 28% for the quarter and 10% for the year. Without Philly Swirl acquired in May of 2014, sales were up 5% in the quarter and down 2% for the year. Soft pretzel sales, however, were up 15% for the quarter and slightly less than 1% for the year. Sales of frozen juice bars and Italian ices were down 2% in the quarter and 4% for the year. Handheld sales increased 8% in the quarter to $6.6 million and were down 5% for the year. ICEE and frozen beverages. Frozen beverage and related product sales were up 2% in the quarter and 5% in the year. Beverage related sales alone were down slightly in the quarter and up 1% for the year with gallons down 3% in our base ICEE business in the quarter and 1% for the year. Service revenue for others was up 14% in the quarter and 13% for the year as this segment of our frozen beverage group continues its strong growth. Consolidated. Gross profit as a percentage of sales in the quarter increased to 32.4% from 31.8% last year and for the year increased to 31.3% from 30.4%, almost 90 basis points. The gross profit percentage in this year's quarter compared to last year benefitted from lower trade spending and manufacturing cost savings in retail supermarkets. Total operating expense as a percentage of sales increased to 19.5% from 18.9% in last year’s quarter with the increase mainly attributable to higher distribution costs. Capital spending and cash flow. Our cash and investment securities balance increased $22.5 million in the quarter to $221.9 million as we generated cash in excess to our needs. We continue to look for acquisitions as a use of our cash. We have invested $128.1 million in mutual funds that seek current income with an emphasis on maintaining low volatility and overall moderate duration. Presently we estimate annual yield from these funds to be about 3.5%. Our capital spending was $7.5 million in the quarter as we continued to invest in plant efficiencies and growing our business. We are presently estimating capital spending for 2015 to be $40 million or so. A cash dividend of $0.32 a share was declared by our Board of Directors and paid on October 2. Additional commentary. Sales of soft pretzels and food service continue to be strong and include pretzel products such as rolls, sticks and soft pretzel buns to casual dining restaurants and club stores. Our wholegrain pretzels recently introduced in schools is selling very well as another round of changes in school food regulations has been implemented. Frozen juice bars and ice sales and food service were up as we're seeing growth in our school business as well as in other chattels. Handheld sales in food service declined down 8% in the quarter and for the year. Churros sales were down 4% in the quarter as sales to a major fast food restaurant chain were down close to $1.6 million. Sales of Churros to this chain which were $6.8 million for the year ceased in the fourth quarter. For the year, however, Churros sales excluding this one customer, were up 9%. Sales of soft pretzels in our retail supermarkets segment were slightly higher in the quarter as sales of our primary pretzel products rebounded from weakness shown earlier in the year. Frozen juice and ices were down 3% in the quarter and 4% for the year. Handheld sales in retail supermarket were up 8% as sales to one supermarket chain were up about 75% from a year ago. In ICEE and frozen beverages, gallon sales were down 3% as we weathered economic factors in Mexico and decline in some of our theater business. But service revenue to others was up 14% in the quarter and 13% for the year as this area of our business continues to perform very well. Our estimated income tax rate was at 34.8% for the quarter this year and 35.9% last year and for the year decreased to 35.4% from 36.1%. We expect the income tax rate to be 36% to 36.5% in 2015. We are estimating a rate of about 36% in fiscal year 2015. Thank you for your continued interest and I will turn over the call to our listeners for their questions and comments.
Operator: (Operator Instructions) Our first question comes from Brian Rafn [Morgan Dempsey Capital Management].
Brian Rafn – Morgan Dempsey Capital Management: Question on the – what are you seeing throughout the next year relative to –
Gerry Shreiber: I am sorry, Brian, you faded out. What are we seeing next year with regard to commodity –
Brian Rafn – Morgan Dempsey Capital Management: Yes, commodity prices.
Gerry Shreiber: It appears to be fairly flat which is good overall. And when we look at commodity pricing our major ingredients were okay with and were booked into probably the third quarter of next year. I also look at energy costs and gasoline prices as we all know they are down somewhat, that generates a fair amount of money and every driver in every family’s disposable spending, they will go places. We’re in most of those places. So I have to say overall I am cautiously optimistic.
Brian Rafn – Morgan Dempsey Capital Management: Give us a little insight, Gerry, on New York Pretzel and Philly Swirl, have you had to make any dramatic changes in the menu or menu additions and what’s your ability to expand line expansion of those products?
Gerry Shreiber: Well, we haven’t had to make any changes. They are continuing to run with the talented management staff that they have. We’re looking for ways to grow that sector of business from -- in New York both on the cards and outside that, and Philly Swirl contributed nicely to our quarter and to our EBITDA. We’re happy with both acquisitions, they are strategic, they are working and that's what we do.
Brian Rafn – Morgan Dempsey Capital Management: Give us your sense here – and I know you highlighted that, but how would you characterize the impact of weather in 2014 on cost of different products?
Gerry Shreiber: Well, I don't let my people come in with a shield of weather, all right. So we’ve got to find ways to sell our product and expand it, no matter whether the weather is good or not.
Brian Rafn – Morgan Dempsey Capital Management: And then just one final question with that – can you just give us a little granular detail on where the $40 million CapEx is going to be invested in 2015?
Gerry Shreiber: We’re looking -- what we've investigated in, in the past have been in our pretzel products and our pretzel line. We look to drive cost out and improve quality and efficiency. And we have some new products on the table that are coming out.
Operator: Our next question on the line comes from Akshay Jagdale [KeyBanc].
Unidentified Analyst: Hi good morning. This is actually Lubie [ph] on for Akshay. Gerry, my first question is just on soft pretzel. Obviously you guys have benefitted from strong demand from the food-service channel with the several chains adding pretzel products to their menus. So my question is just are you seeing any indication that demand from food-service is slowing at all or maybe some chains are maybe deemphasizing the products and then just your thoughts on how sustainable do you think the sort of strong growth in soft pretzel biz into 2015?
Gerry Shreiber: Well, we're excited about – well, we’re pleased with the last year, we’re excited about 2015. We have not seen any particular significant slowdown within the segment in the industry. As a matter of fact it has gone the other way and we’re gearing up our people in the field and our operating plans to make sure we can establish and maintain that growth.
Unidentified Analyst: And then on Churros, can you maybe talk a little bit about your outlook for that product over the coming year and maybe beyond to that, whether you're seeing any traction with the new accounts in particular given that you just lost to the -- obviously a major customer this quarter. So just your thoughts on sort of the outlook for that business?
Gerry Shreiber: Churros sales might be down this year because of Taco Bell has discontinued the product and they put in a whole new generation of breakfast items over space. So we are creating more and more interest and location selling including soon to be – rolling now our OREO Churros. So we’re not too disappointed in the overall category.
Unidentified Analyst: And then just my last question, with regard to handheld, obviously the vast majority of your portfolio has done really well for a long time now. But handheld is one area that has definitely had some challenges for the last several quarters. So I am just wondering if you can share your thoughts on sort of – what are the longer-term prospects for that business and do you still think that you can restore growth in that product line and if so, what do you think it's going to take to do that? On the flipside, have there been any discussions or thoughts about exiting that business?
Gerry Shreiber: There has been no thoughts on us exiting the business. The business is tracking on almost 4 years, it was in a severe decline when we acquired the product line from ConAgra and two, again and I will restate that -- very efficient plans that – meet the USDA standards, we lost some customers early on about two years ago when it just changed menu. We’ve been developing new products and new product platforms and we made some gains in both food service and in retail in there and again we are cautiously optimistic about that business. We’ve driven some costs out. We've improved the logistics part of it and Jerry Law has some plans, I am going to turn it over to him right now to continue to improve our handheld. Jerry, do you want to comment on how we’re suddenly profitable on the product line?
Jerry Law: The product line is profitable, continue to expand our R&D efforts there as we approach more of the change in opportunity, to use the capacities that we have. We have ample capacities and technologies, we have to be able to find – to drive the volume.
Gerry Shreiber: Lubie, to answer your question it’s not something we can crow about right now but we’re getting the roosters ready.
Operator: We have John Anderson on line with the question.
Unidentified Analyst: Hey it’s actually [Ryan Symbian] for John. Gerry, I just wanted to follow up on your comments on lower gas prices. I guess distribution expense is up pretty materially in the second half of the year. You could maybe – and this is something we’ve heard from other companies we cover. But if you can maybe give some color there on what you’re seeing and kind of expectations on if they persist in ‘15 or if we see it start to see some easing there?
Gerry Shreiber: Well my comment on gas prices was really more directed on the recent 60 days what we are seeing, with regular gasoline prices which I think will have a positive effect on most of our business segments. And Dennis, you want to comment on why our distribution costs were up in 2014?
Dennis Moore: Yes, it’s now 80, other than I think some common carrier and freight costs were edging up and I think it has –the number of factors, one of which is more of the oil is being transported by some carriers, freight carriers and it’s kind of squeezing out –
Gerry Shreiber: And there might have been some equipment shortage and driver shortage but I think for 2015 gasoline prices and overall distribution costs should be -- we should be comfortable with it.
Unidentified Analyst: I guess following up on the OREO agreement, any color there on kind of what the initial customer response has been and then kind of more broadly your aspirations on thoughts on licensing agreements and if you’re going to do that with more partners, and if so, what products would interest you?
Gerry Shreiber: Well, we only have a small capsule to measure from but it was the recent NAC’s, National Association of Concessionary Show in Las Vegas in early October, it was – it looked like the MVP of the show, we had comments all over the floor, people coming to see us. They wanted to taste the products. We’re just now getting the product out to the field and our people are just now making presentations. The initial customer interest was really high. Now we have to convert that interest into sales and continue it and we’re optimistically looking forward. It’s not every day you can form a partnership with something like OREO and [Mont delis] and our people worked hard and secured it and we think we got a good partner, a great partner and we’re looking forward to building that business. We've had a licensing arrangement with Minute Maid Coca-Cola which is now into its third renewal and we think there is a place for licenses within our business and we’re looking at other opportunities for that.
Operator: We have a question on line from Brian Rafn.
Brian Rafn – Morgan Dempsey Capital Management: Yeah, Gerry, you talked a little bit about – I think it was wholegrain pretzels in the school systems, obviously with all of the menu prognostications from the Obama administration, I am just wondering if you look across the spectrum of your products, whether it be cookies, or frozen juice bars, or these new soft pretzels, has there been any dynamic breakthroughs in that school service market where you’ve had product that’s gotten good volume traction with the kids?
Gerry Shreiber: In one word, Brian and I know you'll get it. Yes, last year’s [volume] were up strong, this year indications are they’re going to be up stronger. We’re certainly not quoting around, we’re doing everything I can to meet regulations and guidance and now we believe not only we are on track but we’re benefiting from it.
Brian Rafn – Morgan Dempsey Capital Management: Okay and then just talk a little bit maybe what you’re seeing here, the battle in the – whether it be the fridge case or self-space in the grocery, between national brands and private-label on that end, if you’re seeing any business interest and you guys are doing some private label business?
Gerry Shreiber: Well, we’re going and we have been doing some private-label business. Our bakery in California, Vernon near LA that has been growing every year since our acquisition of it in fiscal year 1987. We also have a plant in near St. Louis that does pretty much all private-label and that business has quadrupled in the seven years that we’ve owned it. So there are additional private label opportunities for us and we’re learning how to deal and work with big grocery chains and big people in the food business and we’re looking forward to growing that business again.
Brian Rafn – Morgan Dempsey Capital Management: And then anything in the Dollar Stores, any demand, is it kind of steady steam of business for you guys or any growth opportunities there?
Gerry Shreiber: Yeah, that was a little bit down this year overall but we got good replacement in there with some of our brands and some private-label brands. So that’s a segment that’s out there and we’re in there.
Brian Rafn – Morgan Dempsey Capital Management: And then just one more, Gerry, it goes without saying you’ve been – you’ve acted actually masterful in M&A activity and making really good selective acquisitions that you – in some case, I will tell you, you really expanded exponentially. How do you see pricing on multiples of EBITDA, availability of deals, maybe the quality of deals?
Gerry Shreiber: They are both – let me say challenging, price has – there is always expectations and demand in there. But multiples have not gone down. All right and we've always been known as kind of a value buyer and -- but what we do well is when we do acquire something we integrate it quickly and efficiently and we’re still looking at opportunities out there. And a small team Dennis Moore, Jerry Law, Teddy Shepherd and myself are working on this and we’re optimistic that we will continue to find value and incorporate it and integrate it within our business.
Operator: And at this time I see we have no further questions.
Gerry Shreiber: Okay. I want to thank everybody for joining in the call and we look forward to talking to you again next quarter. Thank you.
Operator: Thank you, ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect.